Operator: Welcome to today's Covenant Logistics Group First Quarter Earnings Release Conference Call. Our host for today's call is Tripp Grant. [Operator Instructions]
  I would now like to turn the call over to your host. Mr. Grant, you may begin. 
James Grant: Yes. Thank you. Good morning, everyone, and welcome to the Covenant Logistics Group First Quarter 2024 Conference Call. As a reminder, this call will contain forward-looking statements under the Private Securities Litigation Reform Act, which are subject to risks and uncertainties that could cause actual results to differ materially. Please review our SEC filings and most recent risk factors. We undertake no obligation to publicly update or revise any forward-looking statements. A copy of the prepared comments and additional financial information is available on our website at www.covenentlogistics.com/investors. 
 I'm joined on the call today by David Parker and Paul Bunn. We were pleased with our first quarter's operational results despite the lingering weakness in the overall freight environment and the severe weather that challenges early in the quarter. Compared to a year ago, consolidated freight revenue increased by approximately $14.3 million or 6.1%. While each of our business segments grew freight revenue, the asset-based segments consisting of expedited and dedicated were the primary contributors with growth in the average tractor fleet and improved utilization compared to a year ago. Adjusted operating income increased approximately $2.2 million or 17.3% compared to the prior year quarter. 
 Our asset light segments consisting of managed freight and warehousing grew adjusted operating income by a combined $3.3 million partially offset by $1.1 million of reduced adjusted operating income from our asset-based segments. Compared to the prior period, increased interest expense of $2.6 million and reduced pretax income from our equipment leasing company investment TEL of $2.3 million, resulted in a decline in adjusted net income of approximately $9.7 million to $11.6 million. 
 Key highlights include all 4 of our reportable operating segments were successful in growing freight revenue compared to the prior year quarter. Our combined truckload segments navigated difficult weather conditions and improved utilization by 5.4% compared to a year ago, partially offsetting the impact of rate reductions of approximately 1.7%. We successfully executed 2 new start-ups in our dedicated fleet during the quarter and added to the pipeline of new customers in our expedited fleet. Our net capital investment for revenue-producing equipment was approximately $12 million for the quarter, consisting primarily of specialized equipment CapEx for poultry-related growth. 
 The average age of our fleet at March 31 improved to 21 months compared to 26 months a year ago. Within our combined truckload segments compared to the prior year, operations and maintenance-related expenses declined by $0.07 per total mile or 27%. Fixed equipment-related costs, including lease revenue equipment expenses, depreciations and gains on sale increased $0.09 per total mile or 25% as a result of operating newer, more costly equipment and a soft used equipment market. The sale of revenue equipment resulted in a $0.7 million loss in the quarter compared to a $1.1 million gain in the prior year. 
 TEL produced $0.20 per diluted share compared to $0.31 per diluted share versus the year ago period. TEL's contribution to pretax net earnings declined primarily as a result of the year-over-year softening in the used equipment market, suppressing gains on sale. Our net indebtedness as of March 31 was $252.1 million, yielding adjusted leverage ratio of approximately 2.1x and debt-to-capital ratio of 38.2%. 
 On an adjusted basis, return on average invested capital was 8.3% for the current quarter versus 14.8% in the prior year. The decline is attributable to reduced year-over-year trailing 12-month operating income, particularly from our asset-light Managed Freight segment and the increase in the average invested capital base associated with acquisitions growth CapEx and reducing the average age of our fleet. 
 And now Paul will provide a little more color on the items affecting the individual business segments. 
M. Bunn: Thanks, Tripp. Expedited performed well in a seasonally soft quarter, compounded by severe inclement weather, yielding a 93.9% adjusted operating ratio. In this segment, rates have declined by approximately 5% as a result of the rate reset in the second quarter of 2023. The utilization has improved approximately 7%. The improvement in utilization was principally attributable to more engineered routes and newer equipment in the fleet with less downtime. 
 Dedicated reflected another success story, yielding a 93.5% adjusted OR and successfully executing on 2 key customer start-ups during the quarter. Over the past 3 years, we have worked hard to improve the profitability in this segment by exiting unprofitable business and adding profitable business. This weed and feed approach has been uneven, but over time has served us well in deploying capital towards opportunities that meet our profitability and return requirements. We are pleased with the year-over-year improvement to adjusted margin and expect to continue to improve upon this segment's size and profitability over the longer term. 
 Managed Freight experienced a 3% increase in freight revenue and a 102% increase in adjusted operating profit. The significant improvement in adjusted operating profit was primarily the result of a large cargo-related claim in 2023. The brokerage environment remains highly competitive with numerous brokers aggressively competing for volumes at the expense of margin. We anticipate continued margin pressure in this environment. 
 Our Warehouse segment saw a 4% increase in revenue and a 795% increase in adjusted operating profit compared to the prior year as a result of stabilizing labor market where employee retention has improved and the cost of labor is no longer outpacing the rate at which we can capture rate increases from our customers. Our minority investment in tail contributed pretax income of $3.7 million for the quarter compared to $5.9 million in the prior period. The decrease was largely due to continued deterioration in the equipment market, suppressing gains on sale of used equipment. 
 TEL's revenue in the quarter declined 14% and pretax net income decreased by approximately 35% versus the first quarter of 2023.  TEL decreased its truck fleet in the quarter versus a year ago by 119 trucks to 2,082 and introduced its trailer fleet by 292,000 to 6,824. 
 Regarding our outlook for the future. Despite the continuation of a soft freight market, we remain optimistic about our model as a result of the durability of our earnings for the past 6 quarters and the positive momentum we have taken with us into the second quarter in the form of a strong pipeline of new customers in our expedited segment, fleet growth in our Dedicated segment, operational efficiencies that come with a young fleet and improve margins in our warehousing segment. We anticipate adjusted operating income growth from our core operations to sequentially improve each quarter as we execute throughout the year, although much of this growth will be offset by higher interest costs and reduced earnings contributions from tail, we are excited about the direction the company is headed. 
 Thank you for your time, and we will now open up the call for questions. 
Operator: [Operator Instructions] And our first question today comes from Daniel Imbro with Stephens Inc. 
Unknown Analyst: This is [indiscernible] on for Daniel. Firstly, rate per mile was better sequentially than some of your peers came out with. Can you walk us through some of the puts and takes of that result and what you would primarily attribute that to compared to others in the space? 
M. Bunn: This is Paul. I would attribute it to the -- our expedited business has a lot of long-term contracts in it. And so we really have a very limited amount of exposure in the spot market. And then, of course, dedicated, is dedicated in nature. So I think it's probably due to less spot market exposure than most and a lot more contractual business and contractual business with multiyear terms. One of the things I would tell you, we made a strategic decision in '21 and '22, not to probably take as full advantage of the market as we could and really try to partner with accounts that had been good to us and that we thought would be -- help stabilize our earnings going forward. And so there's probably some trade-offs in lost opportunity and especially the '22 market for more stable results in what we saw in '23 and '24, and that's really kind of how we're shaping the business model in the company to try to get out of the peaks and valleys and work with folks, we can produce value and make a profit in good market or bad. 
Unknown Analyst: And kind of along the same vein, we have heard talk of some shippers pulling forward some contract renewals to earlier in the year. Have you seen some of that? Or maybe just some color around how contract repricing is progressing would be helpful. 
M. Bunn: Yes. I would say we're pretty much through all of our contracts. I think we've got one of any significance left. And so we will A lot of those went into effect. April, May, some of them in March, some of them in January. So we're pretty much through that process. As I said, 1 or 2 more left, but nothing really pulling forward from the end of the year. And so it should be a relatively steady selling from here on [ EL ]. 
Operator: And our next question will come from Scott Group with Wolfe Research. 
Scott Group: I know just last exposure, obviously, to spot, but just curious your views on cycle and demand trends so far in Q2 and where we are? Are we at the bottom? Is it getting any better yet? Just any thoughts? 
David Parker: Yes, Scott, I'll start it out and then David wants to add to it. I mean, I think we continue to bounce along the bottom, and we just continue to bounce on the bottom. I think if you think back to '17, '18, '19, the pandemic, everybody had gotten used to the spikes up and the spikes down. It's kind of gotten spiky and not real U-shaped this reminds me of kind of coming out of '08, '09, and it's kind of one of those longer recoveries that is probably a little more historically accurate, more U-shaped longer-term recovery. And I mean I really don't see with what costs are doing out there. I mean, there are still some companies out there really trying to test the market. But there's not much more of the thing can go down with where costs are. People will start parking trucks or downsizing fleets or whatever because it doesn't make sense to take the risk we take in this business to lose money. And so I think we're at the bottom, bouncing along it. And I think the million question is when enough capacity exits to kind of start heading the other direction. 
Scott Group: You talked about multiyear contracts. Any -- just -- what percentage of -- was that well, I guess, was that a dedicated comment? Or was that an expedited comment as well? 
David Parker: Both, both. I would say probably roughly half of expedited business, 50%, 60% is under multiyear agreements. We've renewed a couple of those thus far this year for additional multiyear agreements, which shows the partnership, again that we've created with some of these accounts that as I said earlier, we could have really made a lot more money in '22 and '21 than we did. But we treated some partner customers right, and they're treating us right through this. And really, I think some of our more niche value-add service offerings, they appreciate the value we create on more than just hauling their freight and some other things we do to really try to make sure we're there for them. And so yes, we've renewed multiyear contracts in the first quarter that will protect some of that business for the years to come in the expedited space. And then, of course, dedicated is like most other folks dedicated except for the poultry business and all of that stuff is on, I would say, a little longer than normal term dedicated contracts. 
Scott Group: And so as you're repricing these multiyear contracts, are they -- would you call them, are they above market right now or below? Like meaning when you're in pricing, are you getting rate increases or are rates coming down on those? 
David Parker: I would say flattish... So on those multiyear deals on multiyear deals, we're not -- we're not going backwards because with our cost, it just doesn't make sense. But there's not a lot of there's not a lot of ability to get a significant amount of rate in this market. But a number of those have escalators in out years and ways where we can go back and retrade with the customers, some incremental ups and downs based on what indices or costs do. And so -- but if you're -- if you got a good solid customer that's been with you for a long time and you're making a fair margin, as long as you have a way to adjust that if your costs go up or down, you should keep making that margin. 
Scott Group: And then just last question. I think last quarter, you talked about earnings this year flat to positive. I don't know, just any thoughts, any update? 
David Parker: I'd say that's what we're still targeting. We're still pushing hard every day to make that happen. And I think Tripp said in his comments, we think we'll see sequential improvement every quarter from where we were this quarter. It's going to be a push to get back to where we were last year or maybe grow them incrementally. But I think the market will dictate whether or not we can grow them, but we're working really hard to get something with a 4 in front of it. 
James Grant: Yes. I would agree with that. But Scott, just to add on to that, the thing I'm most proud about is the fact that the base business is growing. And I think we can -- if we look year-over-year, I think we can grow operating income year-over-year. But some of the things that have hindered the P&L this year from whether it's tail or whether it's interest expense, those are going to be a little bit of a, I said, bigger headwind, I would say, year-over-year. So it's kind of going to be offsetting those earnings a little bit, but not significantly, I would say. 
Operator: [Operator Instructions] And we'll move to our next question from Elliot Alper with TD Cowen. 
Elliot Alper: This is Elliot on for Jason Seidl. I wanted to ask about dedicated tractor count going forward, stepped up sequentially in the first quarter. How should we think about that going forward? I mean similar to some other questions we've been hearing about new shippers stepping into dedicated to lock in some rates given the current environment. I guess are you guys seeing this at all and expect any pricing pressure there from new business? 
David Parker: Yes. I mean, there's definitely a lot of one-way guys trying to get in and do dedicated given the market. , let me answer your first question, truck count. I think you'll see the truck count probably Q2, you'll see the truck count go up a little bit. And then I don't have a lot of visibility past that. But Q2, the truck count will go up and then I could see a flatlining for a little while because it's a tough market out there to add new business. And so we're going to keep working on the pipeline. As far as new entrants, it's -- there's no doubt it's competitive out there, and -- but we're still winning as much as we're losing. 
Elliot Alper: And then given the softness in the brokerage environment, I guess, how are you able to hold up managed freight margin so well. We've seen losses at other carriers. Curious to hear about your outperformance there. You spoke to some margin pressure going forward. I guess -- should we think about that maybe similar to margins of second quarter of 2023? 
David Parker: Yes, probably similar to second and third and fourth quarter of last year. I mean, really, let what we're focusing on is making sure we're not out chasing this stuff. We're not trying to buy a bunch of freight with our brokerage to make yourself feel good about top line revenue and lose money. And so if we can help a customer and make a little money on it, we're going to do it. But revenue just for revenue's sake in our world, don't make a lot of sense. And so we're just managing our overhead and trying to make sure can we make a scrape on what we're doing and not chasing stuff to the bottom of the barrel. 
Operator: Next question will come from Jeff Kauffman with Vertical Research Partners. 
Jeffrey Kauffman: And congratulations on a terrific quarter and a very challenging freight environment. I want to follow up on the last question and maybe look beyond the next quarter or 2. I know we tend to manage the business for -- in the short term, sometimes. But you mentioned the 2 new dedicated start-ups, the changing face of dedicated Lew Thompson. As we look out 2 years, 3 years, can you talk about what this means for the dedicated franchise? And is [ Tractor ] really the right way to think about growth since some of this new business is shorter haul, should we really be thinking about miles -- and then what could that growth curve look like in a normal environment for, let's say, 24 months, 36 months out? 
James Grant: Yes. Jeff, this is Tripp. One, we're very pleased with the way that Lew Thompson has performed over the last 12 months. In fact, Friday will be the 12-month anniversary of the acquisition and it has been nothing short of a blessing for them and for us to be partners in this kind of work together. And we've -- the teams have worked well together. The strategy is working, and we've experienced a lot of tailwinds with some immediate growth that, quite honestly, we didn't even model when we were pursuing the acquisition prior to signing the documents. But Here's what I would tell you. I do think the future is bright, I'd be hesitant to put some numbers 2 years, 3 years out. But I would say that I'm excited with what I've seen. But I would also say that our focus is more on the shorter term because this is such a -- high service-oriented business, and it's something that we're new to. And Lou and Josh are kind of guiding us. 
 We've got another really good operator out there that we've moved out there to help learn the business. He's doing a great job. But we want to make sure that we continue that same standard of service for the previous existing customers and execute well on new start-up businesses. So we're -- it doesn't sound good for me to say that we're focused on the short term, but it's absolutely critical for all of our team to be focused on that short-term growth, making sure every one of those happy -- or every one of those customers, whether new or preexisting or continue to be happy with the level of service. And we've got confidence that more growth will come. But I do think that it is a good number. It's a number that I wouldn't want to publish or make public, but we're excited about what I would call the momentum that we're taking into 2024 and to 2025. 
Jeffrey Kauffman: And just a follow-up, if I can. Tractor fleet down to, I think you said 21 months that's fantastic, and that's showing up in maintenance cost savings. But I guess given the operating environment, you said fleet count up a little bit dedicated than kind of leveling out. Is there any thought about shifting capital in this environment? You were talking about the pressure from interest expense in future quarters. Where is your debt relative to your goals and your targets? And does it make sense to shift some capital and maybe reduce that interest expense or no? 
James Grant: No. Not in my opinion. We've seen a lot of optimization in fuel economy and operational expenses tied to a newer fleet. There's no doubt about it. And Yes, service, driver satisfaction, driver retention. They all like operating younger fleets. And we saw through the COVID process, where there can be -- I'm not predicting another COVID event, but there are disruptions to the supply chain. And so we have strategized and worked to lower our fleet count or lower the average age of our fleet because we feel like that gives us a total cost of ownership, the lowest total cost of ownership over the life of that asset. And I also think if we were to have a disruption for whatever reason, with obtaining new equipment, it gives us a little bit of an additional time before we start seeing service decline and higher maintenance costs and all of that. But I understand your point and there are pockets. I mean we don't just keep every truck for -- I'll just make up a number, 25 months or 28 months or whatever it is. We have different pockets of where different trade cycles based on how many miles the trucks are putting on them a year. And so we're actively looking at each one of those trucks and trying to optimize the pull from it and get the most out of it on the backside and manage it well. So it's not just depreciation expense, and I don't think it's debt. 
 In terms of debt, where we are today, 250 feels a little bit high. But if you look at some of the new business growth, I think you'll see a nice uptick in the run rate in EBITDA. So I think we'll start spinning off more cash in the future. As this new growth takes off to help get the leverage profile down. We're not uncomfortable with 2x leverage. Now if we were sitting here at 3x, we may be squirming a little bit. But we've never really stated that we ever want to be debt-free, but we may see this -- based on the plan today, I think you'll see the debt come down a little bit in the back half of the year, but it's nothing that gets us uncomfortable because we're -- again, I think that's a little bit shortsighted looking at the interest costs and things like that, but I think that we're poised to take advantage with this younger fleet to take advantage of some new growth opportunities, hopefully, when this up cycle comes, just not just in Lew Thompson, but in other areas of the group. 
M. Bunn: Jeff, let me add 2 things to what Tripp said. If you think about a lot of the business we've been adding is shorter length which is added CapEx to fund the growth is shorter length of haul business. So you're going to -- what you're going to see is a better free cash flow profile going forward, maybe incrementally than where we've been because if you're in a higher mile environment, you're having to flip the trucks out faster in a shorter environment is Tripp saying you're holding the trucks longer, and so you're able to generate more free cash flow. The other thing just to think about around equipment is we're only a couple of years away from that new engine technology being required by the EPA. And there's what's California going to do, what's the EPA going to do. There's a lot of rules and regulations out there that not only us, but our whole industry is going to have to adjust to. But the new engine technology is probably the one that we're most sure is probably going to stick. And the numbers you hear engine manufacturers and truck manufacturers talk about, it will be the largest price increases on trucks that this industry has ever seen. And so there's another side of buy trucks now when they're significantly cheaper than they're going to be 24 months from now. And while you can get on just the Tripp's point, there'll be a lot of people. In the next 18 months, there will be a lot of pre-buy activity, people trying to buy equipment before the significant increase because of the new engine technology. And we don't want to be -- we want to sit here with a young average age going into that, not raking and scraping to get every truck we need -- so I hope that -- maybe that's just a little more color around your question. 
Jeffrey Kauffman: No, I appreciate that. I mean we're hearing 25,000 more for truck. And my recollection when you're trying to fix NOx and particulates is the new vehicles don't always work better than the old vehicles. So I think those are very credible points, and thank you for the detailed response. 
Operator: [Operator Instructions] And there are no further questions at this time, and this will conclude today's conference call. Thank you for attending.